Operator: Good day, and thank you for standing by. Welcome to the Anterix Fiscal Third Quarter 2025 Investor Update Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Natasha Vecchiarelli. Please go ahead.
Natasha Vecchiarelli: Thank you, operator, and good morning, everyone. I'm Natasha Vecchiarelli, Vice President of Investor Relations and Corporate Communications. And I'd like to welcome you to our third quarter fiscal year 2025 investor update call. Joining me today are Scott Lang, our President and CEO, Ryan Gerbrandt, our COO, Tim Gray, our CFO, and Chris Guttman-McCabe, our Chief Regulatory and Communications Officer. Before I turn the call over to Scott, I would like to remind everyone that during this call, we may discuss forward-looking statements regarding our commercial outlook, future operations, and expected performance. These statements are based on our current expectations and assumptions, but they involve risks and uncertainties that could cause actual results to differ materially. We encourage investors to review our SEC filings, including our Form 10-K and 10-Q, for a detailed discussion of the risk factors that could impact our results. These documents are available on our website. Finally, please note that we do not undertake any obligation to update these forward-looking statements. With that, I'll now turn the call over to Scott.
Scott Lang: Good morning, everyone. Thank you for joining us today for our third quarter fiscal year 2025 earnings call. I am now four full months into the job, and I have a solid idea of who we are as a company, what works well, and where we can improve. Today, I'm going to share with you my thoughts about what we have accomplished, where we are going, and how we are going to get there. First, what we have accomplished. Just a few weeks ago, we had the great opportunity to announce a $13.5 million expansion agreement with the Lower Colorado River Authority, an existing customer. LCRA's additional broadband licenses will extend its broadband coverage to 102 counties in Texas. When their coverage is combined with our partnership with other Texas-based utilities, 93% of the counties in the state of Texas will now be covered by our 900 megahertz broadband spectrum. The total coverage across the 15 states where we have contracted with utilities now makes us larger than US Cellular. This gives you a sense of the incredible scale of 900 megahertz private LTE deployments. We also had a fantastic movement on the five by five megahertz joint petition we filed at the FCC with nine other organizations, including seven utilities, six of which are already experiencing the benefits of our broadband solutions. Under the leadership of Chairman Carr and former Chairwoman Rosenworcel, along with Commissioner Simington, the FCC adopted a notice of proposed rulemaking moving the 900 megahertz band closer to a five by five offering. While three by three can satisfy the demands of utilities today and for years to come, this five by five expansion will give utilities a roadmap to even greater capabilities over the decades to follow. Additionally, we have identified key areas where we can immediately achieve significant cost reductions of approximately 20% annually without compromising operational efficiency. These measures not only lead to immediate savings but also position us for long-term financial strength, ensuring that we can continue to deliver value to shareholders and customers while improving the bottom line. Finally, in line with our commitment to delivering value to shareholders, we have returned roughly $4 million back to shareholders through our share repurchase program in our third quarter. This decision reflects our confidence in the company's business strategy and our belief that our stock is currently undervalued in the market. For example, our market capitalization reflects a fraction of the rate at which we have sold our spectrum to date. This fuels our belief that we can and will be aggressive on pricing and focused on winning new contracts with the scale and proven ecosystem that we have developed. But the picture of what we have done is much greater than the quarter alone. With our seven customers deploying across 15 states, 900 megahertz private LTE has moved from the lab to the field. These utility leaders are deploying solutions and seeing measurable results developed by our 120-plus member ecosystem. Our customers, our partners, and our team have placed the Anterix name at the forefront of utility innovation, working with leading organizations such as EPRI, the National Labs, the Department of Energy, and more. We clearly are the market leader in driving advanced broadband spectrum solutions across the utility sector. And that leads me to my second area of focus, where we are going. First, I would like to share my thoughts on where we, and secondly, where we and Anterix are going. The industry has been delivering more intelligence to the edge of the grid for decades. I saw this personally during the nation's movement to cross a bridge they had never crossed with AMI that has connected nearly every home and business. Silver Spring Networks, where I was the CEO prior to Anterix, became the leader in this movement because we thought network first, device second. We distributed the most powerful intelligence that was possible to the edge of the grid. Today, nearly 20 years later, the intelligence and demands at the edge of the grid have advanced. The need of utilities to drive more innovation to the edge has never been greater. AI, as an example, will require even more edge devices to deliver more critical information that must be connected faster, more securely, and even more ubiquitously than ever before. Private wireless networks are at the forefront of providing the digital foundation to continue to deliver critical intelligence to the edge of the grid. Anterix has prepared for this moment. We are the de facto private broadband wireless network leader. We will engage our vast ecosystem of 120-plus companies and our scale with seven of the leading utilities that are demonstrating successful use cases today. It is our integrated offering, not just our spectrum, that is driving this evolution. We are bringing a village of technology partners, service providers, policymakers, and utility partners to join us. We will take this experience of best practices, use cases, deployments, and partnerships to ensure every utility has a successful and timely path to value. As I highlighted earlier, with the LCRA deal, we have 93% of Texas under contract. Those utilities will reap the benefit of 900 megahertz broadband starting now. This multi-utility regional deployment will serve as a powerful example of what this village can deliver and be a template for other regions across the country. Our goal is to enable scale, scope, and solution benefits from region to region throughout the entire country. So how are we going to get there? I'm excited to further elaborate on two significant initiatives which we announced yesterday. The first initiative is with the village that I referred to earlier. As the recognized market leader in private wireless broadband for utilities, Anterix this week has launched a new industry engagement initiative to address and shorten the time value for utilities. The next wave of utilities that are ready to move forward are joining current customers and multiple key vendors of the Anterix ecosystem to learn from our collective experience and plan for the successful implementation of private 900 megahertz broadband wireless networks. This initiative will include an aggressive review of pricing, payment terms, collaboration on additional products and services with our ecosystem, and more. I am pleased with the significant early reception of the industry's participation in this initiative. Convening this group of utilities and solution providers to understand their needs and then evolving our product offering to match those needs is an invaluable and unique offering that only Anterix can provide. And so this leads me to the second initiative. The work we have done over the last ten years has created a great deal of interest in private LTE. Not surprisingly, we have had some inbound strategic interest to participate with us in our efforts. Accordingly, we have launched a strategic review process. We have turned to Morgan Stanley, the leaders in this field, to consider all potential opportunities that will accelerate our efforts. Today, we have built a great company that is positioned to drive growth, executing on nearly $400 million of contracts to deploy 900 megahertz private wireless broadband networks, zero debt, approximately $150 million of proceeds still to collect from these signed contracts, a strong pipeline of opportunities, and a very modest yet efficient expense base that is dialed in to drive our growth and performance. With Morgan Stanley, we will examine these opportunities carefully with our goal to deliver strong performance and results for our shareholders and for our customers. I'm excited for what we have accomplished, where we are going, and how we are going to get there. With that, I'll now turn it over to Chris.
Chris Guttman-McCabe: Alright. Good morning, everyone. Thank you, Scott. It's an exciting day. I'm going to turn to an update on our activity with the FCC. I am very pleased to share with you the significant progress we have made on the five by five joint petition that was filed with the FCC. On January fifteenth, the FCC issued a notice of proposed rulemaking that proposes to expand the 900 megahertz broadband segment from its current three by three configuration to a more robust five megahertz by five megahertz configuration. To provide context, the FCC had previously considered this expansion in its original 2020 rulemaking it deemed it premature at that time. While there still is work to do to move the proceeding to a report in order, the FCC's decision to adopt this NPRM is a powerful endorsement of not only the 900 megahertz private utility broadband movement but also the critical role that advanced grid communications play in our economy. The proposed five by five expansion marks a major milestone for both Anterix and our utility customers. As it will open up new opportunities for utility broadband users and use cases as well as strengthen our partnerships with our ecosystem. It will also provide greater flexibility to meet the growing demand for secure private wireless networks, not only for utilities but for other critical infrastructure and enterprise businesses across the country. You just heard Scott highlight our role as a utility partner. We see the work that we do with the global standards bodies, the module and chipset manufacturers, and this work at the FCC as an embodiment of our long-term partner approach. At Anterix, we are committed to serving as the steward of the 900 megahertz band, ensuring it continues to serve the evolving needs of utilities and the critical infrastructure sector for years to come. Looking ahead, the FCC will seek public comment on the NPRM within 60 days after publication of the Federal Register, and then reply comments 30 days after that. We will continue to work with the more than 30 organizations that filed comments in support of the petition to engage in this important process and proceeding. And we look forward to providing you with updates as they develop. Now I'll turn the floor over to Tim to review our quarterly financial performance.
Tim Gray: Thanks, Chris, and good morning, everyone. Anterix's third quarter results for fiscal year 2025 reflect a solid financial position. We've provided a comprehensive overview in our 10-Q filing, which was filed yesterday and is available on our website. I'll now briefly highlight some of the key takeaways from this quarter's performance and some developments of note following the conclusion of the quarter. As a result of strategic initiatives with select customers, aimed at accelerating delivery ahead of contract timelines, we successfully delivered to a customer the next tranche of spectrum ahead of our initial contracted delivery date. This has led to an incremental cash increase of $34 million, which was received at the end of January. Combined with the approximately $29 million in cash on our balance sheet as of December 31, 2024, we remain well-positioned and well-capitalized. It's important to note that of the approximately $150 million in uncollected contract proceeds, we are scheduled to receive roughly $80 million during our fiscal year ending March 31, 2026. These incoming proceeds not only support our ongoing operations but also position us to continue returning value to shareholders. On the cost side, we have successfully identified an operational expense run rate reduction of approximately 20% from our annualized run rate from our second quarter this fiscal year, which will further enhance our efficiency and increase our cash flows. These reductions have already impacted our third quarter results in our general and administrative expenses. These cost savings are associated mainly with significant reductions in consultant and professional services spent. Regarding our share repurchase program, we have returned approximately $6.5 million to shareholders year to date in fiscal 2025, including $4.4 million in the third quarter. As we previously mentioned, our approach to share repurchases remains opportunistic. We will continue to calibrate the amount of buybacks based on cash flow and market conditions. With our current cash position and substantial contracted proceeds outstanding, Anterix remains in a strong financial position to execute on our strategic priorities and continue returning value to our shareholders. With that, I'll turn it back over to Scott.
Scott Lang: Thanks, Tim. I look forward to addressing any questions you might have on these topics. With that, we will now open the call for questions. Operator, please open the call for questions.
Operator: Thank you. As a reminder, to ask a question, you will need to press star one one on your telephone and wait for your name to be announced. To withdraw your question, please press star one one again. And our first question will come from the line of George Sutton from Craig Hallum. Your line is open.
George Sutton: Thank you. Good morning. So interesting, obviously, to receive the interest from the outside. I just wanted to look at it from the lens of, in fact, we're moving closer to five by five from three by three. Your equity value really hadn't changed much at all. And you also look at it as a fraction currently of where you're selling your spectrum. So obviously, that suggests significant discounts to the ultimate value. Is that where you think the genesis of this interest has come from?
Scott Lang: Thanks for the question, George. I think it comes from that, and I also think it comes from a question of the fact that we have built such a large ecosystem that we have seven customers that have moved from the lab to the field and are talking very publicly about the performance and the use cases of what they can do with private broadband 900 megahertz spectrum. I think it comes from the pipeline. And so I think it comes from our industry strength and the ten years of what we've done, and the fact we've got this pathway to five by five. Even though three by three, as I mentioned in my remarks, more than satisfies everything that they could possibly do for years, the five by five is just one more step further along. And so when I look at the—I'll just jump in front of the question. I'm sure it's on people's mind, and then I'm—I've been getting and we're going to get is what kind of companies. And they really range from financials to strategic. There's no one common theme of the interest that we've had. But the common interest is the fact that we have become such a market leader. And a big cast and leadership and influenceable where this going is embrace the part of what's brought there. Networks. And then you combine that obviously with our financial position, of signing $400 million of contracts, there's $150 million of proceeds left to come. There's no debt. The pipeline is good. I think all of those things, when you look at the market cap of where this company's been, yeah, I think that is a combination of all those things is what's spurred the external interest.
George Sutton: So one other thing on your industry initiative, I can certainly appreciate it has been a very slow-moving utility market that we serve. I am not really clear the motivations for the utilities to move quicker from this initiative? Or what is spurring this? That—that's just—I'm not really clear about that.
Scott Lang: Is the question what is spurring us to do this now or what would—what's—I'm trying to just make sure I—I'm trying to say from the position of a utility who naturally moves very slow, we are, through this initiative, trying to get them to move more rapidly. I'm trying to understand what's going to drive them to do so from this initiative.
George Sutton: Yeah.
Scott Lang: You know, I only can speak from my own experience. When I—I referred back to the Silver Spring Networks time. And in the first several years, it was really hard to get those first one or two companies up and going. But once we did, and they were able to communicate the performance and the power of distributing intelligence at the edge. And speaking more broadly about that, there became a wave of—you know, just—most utilities got on board with it. And—and I think we're seeing that some of that now. We've now gone from the lab to the field, and it's been in the field in some cases for close to a year. And those utilities are getting more vocal and more clear about the use cases and the performance of this spectrum. Of what it's delivering in the field and I think that's being heard. And you know, I came four months ago. And—and I will just tell you there is a sense of urgency when I look at the executives around this table with me right now. And our board. And the fact that I didn't come here to build another fifteen or twenty-year career, but we came here to deliver on this position that where we currently are and I and I am seeing a pretty strong interest of the next wave of utilities. As an example, we reached out to a number of utilities that are next up in the pipeline. There was near immediate responses. Yes. I want to participate in this. And I've directed and I'm supporting this team to be as aggressive as we need to be on price creativity, the ecosystem we bring to the table and making sure we give them a as frictionless as possible way to come on board and catch up with the first seven that have already signed up and in some cases are two and three years ahead. So that is a combination of all that, I think, is what has gotten us to the point where now is the time to go get started.
George Sutton: Perfect. No. I appreciate the thoughts. That's it for me. Thanks.
Scott Lang: Okay. Thank you very much. Thanks, George.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Mike Crawford from B. Riley Securities. Your line is open.
Mike Crawford: Thank you. And December the come up also finally got approval for its rate case. When—how long would that typically—what would be the time frame? Will it typically take from to move from that to actual Spectrum license?
Scott Lang: Hey, Mike. I'm gonna ask Ryan, he's sitting here with me, to jump in.
Ryan Gerbrandt: Yeah. Good—good—good morning, Mike. You know, frankly, I wouldn't say there's necessarily a single outcome, you know, that I've seen kind of over time with kind of how the utilities proceed. You know, obviously, getting regulatory support, you know, was a big step and it is for a lot of utilities that go down that path to be able to get moving. Then they can go a variety of different paths. You know, in terms of how they ultimately go forward, you know, the different options that they're exploring, how they ultimately support driving procurement. So unfortunately, I don't have a crystal ball, you know, to give a precise answer in terms of timing. You know, but like any other utility, look at the bigger picture in terms of clearly as Scott had laid out, you know, the growing market demand is something that is driving I'll say, the—the—the overwhelming support and initiatives that we're seeing across the entire market isn't completely disenjoyed from, you know, the program that we're rolling out to capture that moment in time with a lot of these utilities. There's—there's so many external influences that you're driving their need and their urgency and as they've been seeing and measuring the successes of the previous utilities are positive reasons why, you know, hopefully, we continue to see that grow, you know, continuing while we're tracking what going on with—with Exelon.
Mike Crawford: Okay. And then just more broadly, I—I think you've already done deals covering posted. Forty-three million population in the US. At by our calculations about dollar fifty two megahertz spot, in aggregate on the—the eight deals to date. And can you just remind us or—or—or inform us what like, the kind of goal posts would be between the prior two auctions that you've used to maybe inform some of these discussions for—for remaining two hundred and thirty-six million or whatever pops that—that—that you you cover and potentially could reach with your spectrum?
Scott Lang: I wanna make sure we've answered the—can you—what's the specific question that you've got?
Mike Crawford: Well, initially, when enter—you're about right, by the way, on the—on the—on average per pop. I'd say that's pretty close to what our math is. Mhmm. And—and but, you know, obviously, you know, rural Texas is a—is a low—has a low fair market value for that service area, but you know, downtown midtown Manhattan would be have a high area. So if—if you take all the remaining population in the country, like, what would be the—the goal post that you're—that you've been know, working towards maybe framed in prior AWS three and six hundred megahertz SOC or—or where discussions are today.
Chris Guttman-McCabe: Hey. Hey, Mike. It's Chris. Yeah. Those—those are those are the goalpost. Right? Those are the logical comparables. And then, you know, and then—and then we put into play you know, what are more recent transactions and—and things like that. I think—I think what is new is what Scott referenced, which is we have room you know, when—when you look at our current market cap and—and the market pricing of our—of our stock, and—and you interpolate that back? Or forward or interpolate it back to to current price per megahertz pop for that market cap. We've got a lot of room to be creative in pricing and still drive extraordinary value both to our shareholders but also to the utility sector. And so, yeah, those are the goal posts that we use when we talk about fair market value. And—and—and, yes, you're actually obviously very very correct. In—in using sort of the real estate analogy. Right? You know, Manhattan, New York is—is a different price point than Manhattan, Texas or Manhattan, Kansas. So but you know, what—what—what Scott is has has authorized and—and is—is pushing us to do is to be you know, as creative as we can be with our offering in order to to make the move. I think the word, Scott, you just used was frictionless. Make the move for utilities frictionless.
Mike Crawford: Okay. Thank you. Maybe I'll just try one one last question. So it—yes. It's not if and when, you get a an ability to offer five by five solution. There's certain markets where your Spectrum Holdings I think, already would make you very able to do that and others where it would be more difficult. So is there any way you could kind of bifurcate areas like, I don't know, like Boston where other people have inspection holdings or—or—or different markets where where you're in a position would be in a position to move quickly and—and kind of frame that for us at all. Yeah.
Chris Guttman-McCabe: Yeah. Again, it's Chris. I'll take it. You know, for a a very significant percentage of the country from a county perspective, we could move forward you know, pretty pretty quickly. And then for for the rest of the markets, you know, we're gonna take it opportunity by opportunity. So as a utility wants to first of all, obviously, a lot of work between now and a five by five report in order. But if that were to happen, you know, to the benefit of of I would say, Spectrum policy and and the utility sector, you know, we would we would enlist our fantastic spectrum teams who have already cleared, you know, more than seventy percent of the incumbents in the three by three. And and they, you know, they would get to work on on clearing for the five by five. I we're very comfortable that our team has that capability. And, you know, they they have the the authority to to to cut the deals that we'll we'll ultimately need to cut to get us to five by five. As we have contracts in place that that where the utility wants to go to five by five. One of the things that makes our offering really unique is the ability for utilities to do this incrementally. Right? They can start with three by three, hopefully, fingers crossed, ultimately, they can go to five by five. They can pay us in a in a way that matches their their their their budget. You know, with zero debt, we're we're able to be flexible on how structure these contracts, and and Ryan and our sales team have been very successful in creating a bespoke deal for each utility. And then just adding five by five to the mix gives us even sort of greater opportunity to be flexible and to be creative with our our customers.
Mike Crawford: Okay. Thank you very much.
Scott Lang: Thank you, Mike.
Operator: Thank you. One moment for your next question. Our next question comes from the line of Jonathan Chaplin from New Street Research. Your line is open.
Jonathan Chaplin: Hey, John. Thanks. Morning. Thanks for taking the question. A couple, actually. So for the—for the for the counties where you've already signed deals on the three by three. Would the would those customers get access to the five by five once it's sort of delivered automatically? Or would they would you expect incremental payments from them to get access to that and would it be on the on the sort of a same megahertz pop basis as as the deals that they've already signed?
Scott Lang: I'll take the I'll take that, and then I might ask Chris or Tim, can jump in. But I would say that yes, I would say there would be demand for them to gobble up the five by five just to have it for future strategic reasons over the decades to come. I would say, yes, there would be a a value that is associated with that five by five that we would be looking to negotiate and that they would be very specifically regarding the pricing for that, it's too early to say. We would need to do some work on it. We need we would we will deal with that when that time comes and I do believe it's when that time will come. We'll sit down with it and and make sure it's the right value pricing to encourage utilities to expand their their availability to the five by five.
Jonathan Chaplin: And, you know, I I I get that you sort of haven't had any of these negotiations yet, and so it's sort of really difficult to know but is your thinking that the utility of a five by five is so much greater that the incremental to get two megahertz gets a higher price than what you've already done, or is it working the opposite way where if you've already bought three, you get a volume discount on the incremental too?
Scott Lang: I would say it's I I'm not—I the volume discount of your words, I don't think they're necessarily mine. But I would say more spectrum is better than less spectrum. The three by three certainly with our seven customers, the number of testimonials and use cases they're blown away by had the fraction of the bandwidth they're using in the three by three, that's what gives us confidence that there's years of bandwidth there that's left. But but the five by five is is valuable, and I think they would they would want that. So there'd be a price to pay for that and and I think we would love for them to have it. And I think I hope that answers your question fully, but there's a lot there that you know, we don't wanna get ahead of ourselves. As Chris said, there's some work to be done. We are very pleased with the speed at which the widget is going through the process right now. We enter will continue to go well. It's hard for us to predict if that's gonna be in the near term or medium term. And when that time comes as it gets closer, we will be able to communicate more with all of you regarding what that means to us and updating your models.
Jonathan Chaplin: And is there any way to is there anyone else in those markets that might be interested in the two by two? Is there any way to create bidding tension for the for the incremental piece?
Chris Guttman-McCabe: Hey, Jonathan. It's Chris. The the way the rules are proposed right now, the the structure for applying is the same. Right? So so in the you know, overwhelming ninety plus ninety ninety-five plus percent of the counties that will be in Terex. And I'm a I'm a take your question in sort of a different way. You know, we are we are laser focused on the utility sector. That doesn't mean that there are not you know, inbounds from oil and oil and and and gas and pipeline and and and other uses and use cases. In fact, one of our utility customers their goal specifically is to serve other users within their footprint. Whether it be you know, similarly situated utilities, things like that. And so this additional capacity will give them that capability and and so that's where we see it. But with regard to sort of applying for the for the expand from the three by three to the five by five obviously, we have to wait for the proceeding to to come fruition. But the way it's set up right now is the entity that has more than half of the spectrum in the market licensed is the entity that gets to move forward. And, you know, for the for the majority overwhelming majority of counties that would be Anterix. Vast, vast, vast majority, and that's how it would you know, that's how it would play. We look at this as our evergreen commitment, you know, to to the utility marketplace and also to this.
Jonathan Chaplin: My last question on this, would you be expected to pay the FCC anything for the remaining two by two?
Chris Guttman-McCabe: Jonathan, say that again?
Jonathan Chaplin: Would you be expected to pay for the—yep—the incremental spectrum, and and what would be the the cost of it?
Chris Guttman-McCabe: Yeah. And so the way the the again, the rules proposed to to continue the same structure. And under the current three by three structure, there's a there's an unjust enrichment payment that that the licensee, Anterix, makes. And it is based on six hundred megahertz auction prices and they proposed to to continue that in the next phase. So any spectrum that comes off the shelf that's the that's the payment. So there is there's no you know, we we we purposefully structured this to to make it easy for the FCC to move forward to to give them another tool in their toolbox for spectrum planning and spectrum allocation and assignment. And that includes, you know, making sure that there's no windfall, no unjust enrichment.
Jonathan Chaplin: Got it. Guys. I really appreciate all the questions.
Scott Lang: Yep. Thanks for your time on the question.
Operator: Thank you. As a as a reminder, that's star one one for questions. Star one one. Our next question comes from the line of Jerome Darling from JPMorgan. Your line is open.
Jerome Darling: Hello, Jerome. Guys. Thanks for taking the question and congrats on the quarter. I'd like to see the cost controls here, the twenty percent reduction for fiscal year twenty-six is encouraging. How should we think about CapEx both in fiscal four Q and for twenty twenty-six? I guess on the five by five, perhaps asking the question a little bit differently, how should investors kinda think about the value of the entire deal pipeline assuming five by five approval guys in the past have spoken about sixty plus customers valued at three billion dollars. Assuming five by five gets fully approved, one, can you serve more than that sixty plus customers, and do you see a value in the pipeline of greater than three billion? Thank you. Tim, you wanna take that that first one regarding the OpEx and the CapEx, please.
Tim Gray: Yeah. Sure, Scott. And, Jerome, thanks for the question. Just so you know, the the immediate savings that I talked about quarter to quarter was about a million and a half dollars. With the with the majority of that coming out of g and a expenses as I discussed. And we expect to see continued savings as we move forward on the OpEx side. CapEx is a clearing. We will remain consistent next year probably in the fifteen to twenty million dollar range. You know, dependent on timing of customers, timing of spectrum delivery, etcetera, but that's our current view. And I would expect this quarter that we're currently in to be about five million dollars. Maybe a little less than that for for what we're gonna spend on clearing.
Scott Lang: The five by five. Yeah. Okay. Yeah. Regarding that, I would say, you know, it's the four hundred million that we've signed today represents call it, fifteen percent of the total value when we look at the total value of remaining pops across United States, it's a very large number. Five five five makes that number larger. And between those two things, which is why I'm so on recognizing that as the market leader, we have a responsibility with our existing customers and those pinned up customers that are next, to drive that leadership position, and bring this aggressively into the market. So where that lands, I'm not prepared to give you an exact number today. Other than say it's a very large number. And it's right there at our fingertips, and anything we can do to help this next wave of utilities move faster, we are going to do it. And we have a lot of room to be able to do that. And just one last comment on that, and I'm kinda looking at across table at at Ryan, our COO, we decided to launch this just over the last few days. And we reached out to some of the largest, most respected utilities really, in the industry. That are up next that are shown an interest. We've been talking with and we put this out there in front of them, a formal process where they get to really learn about the use cases, the deployments, of what utilities are doing so far with three by three. And whatever we can do to take it off the table of what's holding them up of helping them understand both sides of the spectrum decision of pricing is one on commercial structure, commercial flexibility is another. And I was I think we were both really we were optimistic that people would wanna participate in this, but it was near immediate yes. Responses. with our team and our best talent to put the time and their best talent at the table to work and that process is gonna show us a lot over the next few months. As to where this is, and I think there we have the room, we have the flex flexibility to be aggressive on pricing, as I said, our market cap is still a fraction of what we've seen even the lowest prices. That we've had to go to. And if that's what it takes, then we're gonna drive that value into the market and see some performance from it. Ryan, do you wanna add anything to that?
Ryan Gerbrandt: I think it's a big part. I mean, I I summarize it like this, Jerome. You know, kind of the the reaction that we've gotten, you know, for we've gotten immediately to be able to participate, you know, is highly related kind of the demand side, and where we've seen accumulation of all the activities and the shared experiences, including the seven customers and their success stories hitting the market over the last four to five years. And you you just can't under underestimate know, kind of the importance that utilities who have been in this process for a while going through their understanding of the use cases, spending time at organization like Utility Broadband Alliance, getting prepared to go to Distruitec, who understand, you know, at a very deep level that, you know, broadband and its importance are critical as they look towards the future of either securing their grid, enhancing reliability, resilience, connecting to you know, like the point earlier, you know, those those forty million pops, you know, represent twenty million actual people, their homes. Right? The the consumers that this energy provides and their interest in participating I take is very encouraging, you know, as they want to engage with us directly in a more formal way under the under the context program to be able to explore not just the three by three, you know, but the journey to the five by five. You know, and that'll educate us a lot more, you know, in terms of how we make sure we're meeting them where they are to, you know, optimize the offering for for everybody interest and value creation for all shareholders.
Chris Guttman-McCabe: Yeah. And one thing I I, you know, I just wanna add. Right? So so Jonathan asked a question. Mike asked a question. Jerome, you asked a question about five by five value. You know, we we worked hard with nine other organizations to put together a petition that that is a win win win win. Right? And it was very purposeful. It is clearly valuable to Anterix. And, you know, Scott referenced that it, you know, it's it's could be an order of magnitude. Right? But it is clearly a valuable a value to enter. But it is also extremely valuable to our utilities and our utility customers as evidenced by know, thirty entities filing in support. But let's not lose fact of the the the reality that it is valuable to the FCC. In terms of really good spectrum policy. That's also valuable to the US Treasury. You know, they're they're they're getting revenue for spectrum that's sat on their books for the last fifty years. And so when when we look at this, this is architected in a way that that makes it, you know, a a positive outcome for all the elements of the folks that are that are engaged and impacted by this. And that that's been our goal.
Operator: Thank you. Showing no further questions in the queue, I'd like to turn the call back over to our CEO, Scott Lang, for closing remarks.
Scott Lang: Participating today. I wanna do a call out to our existing customers, to the industry leaders that are gonna be joining our effort on the five by five and the three by three move to broadband wireless network to call out to my team. All of our partners. I'm really fortunate to be here at this point in time. At Anterix. And on the, you know, on on the back of the ten years of investment and hard work that went into it by our team and our investors and the entire ecosystem to get us here, when I look at this, so just four months in, there's a lot to like. Market leadership, four hundred million dollars of contracts, a hundred and fifty million dollars left to collect from those contracts, no debt, great customers. Big advocates, big pipeline, strong partners, and a path on five by five that the innovation can continue to stay healthy for many decades to come. So it's a good place to be. I appreciate everybody turning in today. And we'll look forward to updating you and keeping you updated on our progress as we move forward. Have a good day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.